Operator: Good day, ladies and gentlemen, and welcome to the Eagle Bancorp Second Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we’ll conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today’s conference, Mr. Charles Levingston, Chief Financial Officer. Sir, you may begin.
Charles Levingston: Thank you, Bruce. Good morning. This is Charles Levingston, Chief Financial Officer of Eagle Bancorp. Before we begin the presentation, I would like to remind everyone that some of the comments made during this call maybe considered forward-looking statements. Our Form 10-K for the 2016 fiscal year, our quarterly reports on Form 10-Q and current reports on Form 8-K identify certain factors that could cause the company’s actual results to differ materially from those projected in any forward-looking statements made this morning. The company does not undertake to update any forward-looking statements as a result of new information or future events or developments. Our periodic reports are available from the company or online on the company’s website or the SEC website. I would like to remind you that while we think that our prospects for continued growth and performance are good, it is our policy not to establish with the markets any earnings, margin or balance sheet guidance. Now, I would like to introduce Ron Paul, the Chairman and CEO of Eagle Bancorp.
Ronald Paul: Thank you, Charles. I would like to welcome all of you to our earnings call for the second quarter of 2017. As usual, in addition to Charles, our Chief Credit Officer, Jan Williams is also in line with us this morning. Charles and Jan will both be available later in the call for questions. We are very pleased to announce that our second quarter earnings were $27.8 million, which is another record level of quarterly net income and represents a 15% increase over our earnings for the second quarter of 2016 and a 3% increase over our earnings for the first quarter of 2017. Fully diluted earnings per share were $0.81 for the current quarter, representing a 14% increase from $0.71 in the second quarter of 2016. We are proud to announce that due to our disciplined and consistent management approach, this is a 34th consecutive quarter of record increasing earnings, dating back to the first quarter of 2009. In the most recent quarter, we continued to demonstrate balanced strong performance across all key measurement indicators. We expanded top line revenue over both the same quarter in 2016 by 7%, and on a linked-quarter basis by 5%, driven partly by net interest margin of 4.16%, which increased 2 basis points on a linked-quarter based by loan growth of 2.8% in the second quarter. Noninterest income was also very favorable for the second quarter, as we achieved a 16% increase over the first quarter of 2017. Additionally, we realized growth in deposits, continued excellent asset quality and through disciplined expense control a very favorable efficiency ratio of 39.1%. We continue to monitor and adjust all of the dials that are required to consistently produce these balanced strong results. As we’ve said many times at Eagle Bank, we are more focused on earnings and earnings per share than on the size of growth of the balance sheet. The earnings for the second quarter demonstrate our ongoing commitment to growing revenue and further improving operating leverage. Top line revenue increased 7% in the second quarter over the same quarter in 2016. The revenue growth was driven primarily by increasing net interest income on a linked-quarter basis was also due to enhanced noninterest income. The improvement in noninterest income over the first quarter of 2017 was due in part to initial contributions of revenue from our FHA Multifamily division, which originates and securitizes qualified loans with a Ginnie Mae guarantee and sells the assets into the market. Eagle is one of only 13 banks in the U.S. that has achieved the necessary qualifications to operate this type of business unit. While the developments of our FHA division program took longer and was therefore more expensive to become operational, we are pleased to have begun closing and securitizing loans and are excited about the pipeline at this point. Since our revenue growth has exceeded growth in our noninterest expense, we are especially pleased to report continued gain in our operating leverage. The efficiency ratio of 39.1% in the second quarter of 2017 compares to 39.63% in the second quarter of 2016 and 40.06% for the first quarter of 2017. As noted earlier, our top line revenue for the second quarter increased 5% on a linked-quarter basis, while noninterest expense increased just 3%. This continuing attention to controlling all of our noninterest expenses, as well as increasing revenue has been a key factor in achieving strong bottom line performance. The net interest margin continued to be very strong at 4.16% for the second quarter. As expected, we saw a slight compression from 4.30% in the second quarter of 2016, but showed improvement in the third and fourth quarters of 2016 and the margin of 4.14% in the first quarter of 2017. We are very pleased to post an average loan yield of 5.14% for the second quarter, an increase from both the second quarter of 2016 and the first quarter of 2017. Most importantly, the strong loan portfolio yield resulted from a combination of increases in short-term rates, driven by the Federal Reserve and the related impact on our portfolio loans of which 68% bear variable rates. We also saw the benefit of the increased pricing power on larger-sized loans that we have been achieving in our market over the last several quarters. The benefit of this pricing power is gradually impacting yields in the portfolio, as loans fund up over time. With a significant portion of loans tied to LIBOR and Prime, we should see continuing increases in yield should market rates continue to rise. On the other hand, our average cost of funds increased by 3 basis points during the second quarter, and researchers indicated that the Washington area has amongst the highest deposit rates in the nation. The intensely competitive market suggests that we’ll continue to see pressure on the margin as we go forward. Our total loans outstanding was 60 – was $6 billion at June 30, 2017, and a 11% increase over June 30 2016. Loan growth during the second quarter was $161 million, or 2.8% increase over the first quarter of 2017. Loan origination was very good during the quarter, but we also saw a larger amount of payoffs during the quarter, as projects we’re financing continued to perform successfully. Our loans were paid off, as expected, either through sales or our loans on stabilized projects are refinanced by appropriate long-term funding sources. These were not early payoffs, but the result of successful completion of construction and development projects. We continue to see strong activity and demand over the Washington Metropolitan area, and our loan pipeline remains robust. Over the last six to nine months, we have experienced better pricing power on CRE loans, but on the other hand are facing irrational rate competition for C&I loans. Even though we have this pricing power and see many loan opportunities in the market at this point, we remain committed to our long-term strategy that is much more important to maintain credit quality and strong margin than to achieve a particular rate of growth in the loan portfolio and balance sheet. We’re taking a cautious approach to both C&I and CRE loans are selective in new loan origination and convince that moderate growth of a quality loan portfolio is our best approach at this point in the economic cycle. We’re maintaining our disciplined underwriting practices, including use of the loan to cost ratios, personal guarantees, completion guarantees, identifying multiple sources of repayment require additional collateral, capital and equity. Period-end to period-end deposit growth was modest at $79 million, or about 1.4% during the second quarter, with total deposits reaching $5.9 billion, while the annual deposit growth rate was 10% over June 30, 2016. While quarter-to-quarter deposit growth varies, we targeted annual growth rate in the low double digits. We – the loan to deposit ratio was a 102% at the June 30, 2017, as we continued to moderate the liquidity levels carried during the last quarter of 2016. DDA deposits increased $20 million during the quarter and account for 31.5% of total deposits at June 30, 2017, and averaged over 32% for the second quarter. This high level of DDA deposits is driven by our commercial orientation and certainly mitigates potential increases in the overall cost of funds, if rates continue to increase. A significant portion of these deposits are compensating balance, which are acquired by our loan agreements. We continued our disciplined ALCO strategy and carefully weigh the cost of alternative sources of funding, including core money market accounts, time deposits, FHLB advances and wholesale deposits. During the second quarter, we did use some FHLB advances. This has enhanced our asset liability mix and had a favorable impact on the NIM. In our decision process, we’re mindful of the regulator’s definitions and their views towards the classification of wholesale deposits. We continue to emphasize growth in core deposits, focusing on strengthening existing relationships and developing new relationships through centers of influence in our community. At June 30, 2017, NPAs as a percentage of total assets decreased to 26 basis points, as compared to 39 basis points at June 30, 2016 and 22 basis points at March 31, 2017. The current and prior period ratios are very favorable, as compared to industry averages, and the range of NPA levels we’ve reported over the last several years. The absolute level of NPAs increased minimally by $2.8 million in the second quarter to $18.5 million and compared to $24.5 million at June 30, 2016. The bank is consistently taking an aggressive approach to reviewing individual loans for impairment and accrual status. We continually monitor the supply and demand for commercial real estate by submarket and loan type to manage our exposure and direct new loan production. This knowledge of the market has been a key factor in our successful underwriting over the years and in maintaining our credit quality, which continues to be a hallmark of the Eagle Bank. The allowance for loan loss was 1.02% of total loans at the end of the quarter, which is driven by the consistent high-quality of the loan portfolio and by the loan growth in the second quarter together with consistent application of our allowance methodology. Annual net charge-offs for the second quarter were two basis points of average loans, as compared to 15 basis points in the second quarter of 2016 and are well below the range in our average charge-off loan experience over the last several years. At June 30, 2017, the coverage ratio of reserves to nonperforming loans was 356% and we believe that we’re adequately reserved. As mentioned earlier, for the second quarter of 2017, the efficiency ratio improved to a very favorable 39.1%. We continue our prudent management of expenses and are continually seeking ways to improve productivity through the use of technology and process improvements without sacrificing responsiveness and customer service. We continue to monitor our branch network and related occupancy expense and are currently evaluating future further branch consolidation. At the same time, recent M&A activity in the Washington Metro area has created the opportunity to attract customers and selectively recruit experienced bankers from the acquired banks. So far, we have had more success on the balance – on the business development side, but we’ll see more hires as pay to state contracts expire. We feel we can become more efficient based on the strength and capacity of our current infrastructure. Through our ALCO policies and practices, we maintain a very moderate level of interest rate risk. Over the past year, we have slightly increased our level of asset sensitivity. We look carefully at the repricing risk in our loan portfolio and the securities portfolio. While the weighted average maturity of the loan portfolio is 36 months based on maturities, the pricing duration is only 21 months. 68% of the loan portfolio consists of variable or adjustable rate loans, that has increased from 65% a year ago. The effective duration of the investment portfolio is only 38 months. Given that the prospects for rising interest rates become more and more uncertain with a bias towards the upside, the key for us is to remain short on both sides of the balance sheet and maintain a relatively neutral interest rate risk position. Noninterest income during the second quarter was $7 million, a 9% increase from the second – a 9% decrease, excuse me, from the second quarter of 2016, but an increase of 16% over the first quarter of 2017. The decrease from the prior year was attributable to substantially higher gains on sale of SBA loans and residential mortgage loans in the second quarter of 2016. During the second quarter of 2017, we had gains on the sale of residential mortgages of $2.3 million. Gains on the sale of SBA loans were modest in the second quarter of 179,000, but we have a strong pipeline and expect better performance during the second-half of 2017. Like our other fee-income producing loan units, the revenue from the SBA business continues to be very lumpy and gains on sale vary from quarter-to-quarter. As we had previously announced in a press release, the FHA Multifamily division received its Ginnie Mae certification and began to produce revenue during the second quarter. The unit realized net revenue of $642,000 from its origination and securitization activities in the second quarter. The FHA division has a solid pipeline of transactions from which we expect strong revenue production going forward. Our capital position and ratios are very sound as of June 30, 2017, due to the continued additions to retained earnings from our consistent profitability. The return on average assets was strong at 1.6% for the second quarter and the return on average equity for the quarter was equally strong at 12.51%. Total risk-based capital ratio was 15.13% at June 30, 2017. The common equity Tier 1 ratio was a 11.18% at the quarter-end and Tier 1 capital ratio was a 11.61% at June 30, as compared to a 11.24% a year ago. Our capital ratios remain well in excess of both regulatory measures and internal policy levels and our capital accretion during the first-half of 2017 was at a 14.2% annualized rate. We are very pleased with the results for the second quarter. Despite our continued growth, we still have only 3% market share, which leaves us tremendous opportunity in the Washington Metropolitan region, especially with the recently closed and even recent – and even more recently announced M&A activity in the market. We are continually encouraged by the long-term consistent growth achieved through our approach to expanding existing relationships and generating new customers that see the value of our relationships versus strategy. That concludes my formal remarks. We would be pleased to take any questions at this time.
Operator: [Operator Instructions] And our first question comes from Catherine Mealor from KBW. Your line is now open.
Catherine Mealor: Thanks. Good morning.
Ronald Paul: Good morning, Catherine.
Charles Levingston: Good morning, Catherine.
Janice Williams: Good morning, Catherine.
Catherine Mealor: Ron, your commentary seems to suggest growth is going to moderate some from here as you’re taking more cautious look at CRE and C&I. And so, as we think about that, is it fair to say that a slower growth rate could also drive a higher margin, as it takes a little bit of pressure off the funding side and you’re also competing with in the more rationale C&I space?
Ronald Paul: Certainly, a great question and an important question. Catherine, as always, we really try to monitor the market and look to see where we are within the cycle. Certain areas we feel within the cycle is getting a little overheated. And therefore, we’re going to pull back a little bit and have pulled back over the past few quarters. Obviously, we’re sensitive to the liquidity side to make sure that all, as we talked about, all the dials are kind of lined up. So, we can grow the demand and the amount of calls we receive for loans is something that we could grow double digits – in the high double digits. But just being cautious, feel that we’re going to monitor that on an ongoing basis as a result of the NIM. C&I is very, very competitive. Pricing is, as I mentioned, almost irrational and surprisingly very competitive. And therefore, it’s all those things and then some that we’re constantly monitoring and determining our loan growth. But again, see a robust loan growth that will always continue to be able to maintain.
Catherine Mealor: All right. Okay. And then as a follow-up to that on the margin, your loan yields have been really stable slightly up. I’d say, up to slightly stable really for the past year-and-a-half, maybe more. And so at what point do you think that you really start to see the yields expand more significantly as you impact as we get the benefit of higher rates?
Ronald Paul: Catherine, June was the first month that we actually saw a higher rate on new loans than on payoff loans. Now, as we’ve talked about in the past is that, a lot of that as a result of the fund – finally, the funding of loans that we approved and started the funding in the closing about a year and nine months, six months ago. So we are seeing that opportunity of finally getting that increase in rate on loan yields and happy that we’re starting to see that as of June. We’re about 8 basis points higher in loan funding than we are in loan payoffs.
Charles Levingston: And Catherine, I’d add, we’ve talked in the past calls with regard to our floors at this point about half of our portfolio, a little more than half of our portfolio are at the floors. We look at the 50 basis point move that we’ve seen with the Fed and certainly LIBOR has responded that as well from December of last year to June of this year. And those – the rate on those floors have increased probably about 15 basis points or so as a result of that move and piercing through all of those floors. So I would say, as rate continue to go up and we get through more of those floors, that you’ll see more benefit there as well.
Catherine Mealor: Yes, helpful. Great quarter. Thanks.
Ronald Paul: Thanks, Catherine.
Janice Williams: Thank you.
Operator: And our next question comes from Casey Whitman from Sandler O’Neill. Your line is now open.
Casey Whitman: Good morning. Great quarter.
Ronald Paul: Thanks, Casey.
Charles Levingston: Thanks, Casey.
Janice Williams: Thanks, Casey.
Casey Whitman: Nice to see those FHL or FHA loans again show up in the revenue side, the numbers and congrats on getting approval this quarter. Just wondering, can you give us some more color on how the pipeline looks and how much I guess more we can expect this business to add to revenues going forward?
Ronald Paul: Casey, the issue on – well, first, we obviously can’t give you a forward-looking comment on the amount of production. I will tell you that having finally closed the couple of these loans, we feel that the momentum will start picking up. There is a number of clients and customers and potential customers that we’ve had that have said that they wanted to see us get some loans under our belt before we will be able to start the processing. So we’re even already starting to see some discussions with some new customers as to the opportunity. Charles, you might want to handle the second question as to the premium side?
Charles Levingston: Sure, yes. So we – as we communicated here in the past, we expect the premiums to come in on those loans between 3% and 4%. And of the loans sold and the gains realized, this quarter we did achieve pretty close to a 4% premium on those. In addition, there were some servicing income associated with that. So those – the premium expectations are holding up and we anticipate that will continue.
Casey Whitman: Okay, helpful, thanks. And just moving back to just loans, Ron, you mentioned increased pricing power on larger-sized loans. Can you give us a sense as to where your average loan size is maybe today versus where it was historically?
Ronald Paul: Our average loan size right now is about $2.8 million on the CRE side. So, again, very disproportionate to where we’re seeing loans currently. But on the larger-sized loans, I’m talking, let’s say, in the $15 million that we’re seeing the pricing opportunity.
Casey Whitman: Okay. And then my last question just going back to the C&I we were talking about just the growth this quarter or last couple of quarters has been pretty strong. So what’s been driving that, given the irrational pricing you guys mentioned for that product. Any specific sectors or areas where you’re seeing demand there?
Janice Williams: I think there are a lot of pressures that are impacting the C&I side. One of them I think is the degree to which both sides wound up on the CRE side in terms of concentration concern. I do think in this area, particularly on the larger subcontractors that we would have more success in the Northern Virginia area, where there is intense competition for those loans.
Ronald Paul: Also we’re seeing funding on the owner occupied side.
Casey Whitman: Okay, helpful. I’ll let someone else jump on. Nice quarter, thanks.
Ronald Paul: Thanks, Casey.
Charles Levingston: Thanks, Casey.
Operator: And our next question comes from Joe Gladue from Merion Capital Group. Your line is now open.
Joe Gladue: Thanks. Good morning.
Charles Levingston: Good morning, Joe.
Ronald Paul: Good morning.
Janice Williams: Good morning.
Joe Gladue: You mentioned, I guess on – in regards to loan growth that there were larger than usual payoffs during the quarter. Just wondering if you could quantify that how much there was this quarter versus what’s your normal quarter?
Ronald Paul: Yes, I don’t want to be able to go back into, because from a trend perspective, but a lot of the larger-sized loans are financing out into insurance companies Fannie or Freddie. So – but that that’s the good news of the expectation that when we did the loan that they’ve worked out as they’ve expected. But I would say that you probably have an excess of double the amount of payoffs that we typically have that we’ve received in the – in this quarter.
Janice Williams: I think it is typical thing to generalize about, because the timing is not going to be consistent throughout the year on what payoff happened. The average is going to be a lot different than the median. So from our standpoint, you could have a payoff of, let’s say, a $15 million apartment building that has stabilized and going to the firm market on the 30th of June, or you could have it on the 1st of July and just impacts the quarter differently. So there’s no real, it’s lumpy, I guess, it’s the best way to say it.
Ronald Paul: And to follow-up on Jan’s comment is so much of what community banks, at least, as it relates to Eagle has that lumpiness, and whether that’s on the noninterest income side, whether that’s on deposits and loans. We need to continue to look at the – at the long run and not quarter-by-quarter, because it gets a little distorted on that. Even on the deposit side sometimes whether it’s because of real estate taxes, money comes out at a particular moment of the year, or money comes in at a particular moment of the year, and that’s why averages are really what drives our earnings.
Joe Gladue: Okay. All right, that’s fair enough. Just one more, I guess. The higher, I guess, marketing and professional services expenses, are those things that we should expect to continue at this level, or were they more, I guess, discrete in time increases?
Charles Levingston: This is Charles. I think we had a pretty good push – marketing push in Northern Virginia that pushed up some of those marketing costs and professional fees and services. We’re involved in some IT strategy discussions with an outside consultant. So some of those charges are going to be specific to this quarter and wouldn’t necessarily expect those to continue.
Joe Gladue: Okay. All right. That’s it for me. Thank you.
Operator: And our next question comes from Dave Bishop from FIG Partners. Your line is now open.
David Bishop: Hey, good morning, guys.
Ronald Paul: Good morning.
Charles Levingston: Good morning.
Janice Williams: Good morning.
David Bishop: Hey, Ron, I think you mentioned in terms of the FHA Group that you’re one of 13 banks participating in that market. So I’m just curious in terms of the regional D.C. market, are any of your competitors are pretty active in that market, or is that something that you guys sort of can offer sort of as a unique and premium service here locally?
Ronald Paul: There are brokerage firms that are in the Washington Metropolitan area that I’m aware of. But I can’t – I do not know of any bank that has the ability to provide the balance sheet and then flipping it into a FHA program. So something that we’ve worked hard on and that opportunity for us to be able to do, both the funding initially and be able to put into the FHA at some point is what I think is pretty unique. But the only thing I can – I do know of a number of firms that are brokers that that customers would go to, but not to the balance sheet.
David Bishop: Got it. And then I think during the discussion you also said maybe you’re looking at the branch network, branch system for kind of potential, can’t say is that something that you think could play in the second-half of the year, is it more of a longer-term 2018 project?
Ronald Paul: We’ve had a couple of branches over the past 18 months that we’ve consolidated two branches into one or we’ve relocated from that 2,500 square foot to a 1,500 square foot branch. And we do – we’re right now working on the opportunity of doing the same thing for two other branches down to one branch, which hopefully will take place within the next nine months or so.
David Bishop: Got it. Thank you.
Ronald Paul: Thank you.
Operator: And our next question comes from Stan Westhoff from Walthausen & Company. Your line is now open.
Stanley Westhoff: Good morning, everyone.
Ronald Paul: Hi, Stan.
Janice Williams: Good morning.
Stanley Westhoff: I kind of touch on the – you mentioned a construction projects completion, it’s kind of those accounting for some of the payoff maturities, I guess, how you want to consider it? And then moving into longer-term financing, is there – is that an opportunity you may have missed, or didn’t want to participate in, or is it just the competitive side of the market and the pricing there?
Ronald Paul: We’ve taken a very disciplined approach on that in the sense that we’d like. We would much rather be short than getting locked into the longer-term product. And honestly, the Fannie Freddie insurance companies are way more aggressive than we would ever want to be on these loans that 10 years fixed rate, some are assumable, some aren’t. So it’s just not a program that we want to play in. We would much rather stay long, stay short, excuse me, and be able to take the benefit of the high yields. There – most of them are all working off of 10-year treasuries, and we know what that’s done over the past couple of years.
Stanley Westhoff: Yes.
Ronald Paul: So its very – fortunately, we haven’t played in that arena and have no intention to.
Stanley Westhoff: Okay. And then you talked about the market in general for, I guess, you said C&I. and CRE was getting a little overheated. And you basically said that your growth would moderate a little bit. Is that – is the first six months of the year kind of a good gauge of what we might see for the balance of the year going forward, or is it just going to – is it still little choppy?
Ronald Paul: Well, it’s still choppy. I will tell you the local economy is still very strong on the multifamily side. There’s still significant opportunities of lending all of which we’re looking at. But we are spending more and more time drilling down into the specifics submarkets to be able to understand what the competition is, what programs are out there right now. Fortunately, what we’ve always focused on is the boutique type of project and we want to make sure that that boutique project can continue to compete against the 300 unit multifamily, as an example. In the suburbs that something that we really haven’t been a big player in for awhile. We don’t believe that will change. So I would tell you that the first two quarters I think were good quarters. Again, the second quarter a little bit of an anomaly, because the amount of payoffs that we did have. So it’s really hard to predict when these payoffs will take place going forward.
Stanley Westhoff: Right.
Ronald Paul: And the payoffs again, because the project has been successful and not really payoff, so it’s hard to monitor.
Stanley Westhoff: Right. Well, how much was that payoff amount over the – in the quarter roughly?
Ronald Paul: It was, as I think, I mentioned about double what we typically see in a particular quarter.
Stanley Westhoff: And what’s that number, or you don’t want to?
Ronald Paul: That’s not a number that we typically publish, therefore, wouldn’t want to sort now.
Stanley Westhoff: Okay. All right. Thank you very much.
Ronald Paul: Great. Thanks, Stan.
Operator: And at this time, I’m showing no further questions. Now I’d like to turn the call back over to Ron Paul for any closing remarks.
Ronald Paul: Yes, thank you. Thank you all for participating in the call. But one thing I do want to mention and we didn’t spend as much time on it, as I think, we should, and that is just the competitive nature of the world in deposits. Although we do have the pricing power that we’ve seen on the lending side albeit it’s very selective in what we’re going after. I think it’s important to note that the Washington Metropolitan area from a community banking perspective is as competitive as ever on the deposit side. And with our growth of whatever amount you want to pay, that’s still an awful lot of deposits to be able to get. We’ve been able to expand our horizon with municipalities, with law firms, with title companies and a variety of other large depositors. But clearly it’s getting more and more competitive. And I just wanted to make sure that that was mentioned and recognized from the investment bankers perspective. Otherwise, thank you very much and looking forward to speaking you – speak to you again next quarter, and hope you have a great summer.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. And this does conclude the program. You may all disconnect. Everyone have a great day.